Operator: Good day, everyone. And welcome to Stitch Fix Second Quarter 2021 Earnings Call. Today’s conference is being recorded. At this time, I’d like to turn the conference over to Mr. David Pearce, Vice President of Investor Relations. Please go ahead, sir.
David Pearce: Thank you for joining us on the call today to discuss the results for second quarter of fiscal 2021. Joining me on today’s call are Katrina Lake, Founder and CEO of Stitch Fix; Elizabeth Spaulding, President; and Dan Jedda, CFO. I would also like to mention that we are joining you remotely today from our home offices. We have posted complete Q2 financial results in our shareholder letter on the IR section of our website, investors.stitchfix.com. A link to the webcast of today’s conference call can also be found on our site. We would like to remind everyone that we will be making forward-looking statements on this call, which involve risks and uncertainties. Actual results could differ materially from those contemplated by our forward-looking statements. Reported results should not be considered as an indication of future performance. Please review our filings with the SEC for a discussion of the factors that could cause the results to differ. Also, note that the forward-looking statements on this call are based on the information available to us as of today’s date. We disclaim any obligation to update any forward-looking statements except as required by law. During this call, we will discuss certain non-GAAP financial measures. Reconciliations to the most directly comparable GAAP financial measures are provided in the shareholder letter on our IR website. These non-GAAP measures are not intended to be a substitute for our GAAP results. Finally, this call in its entirety is being webcast on the IR website and a replay of this call will be available on the website shortly. I’d now like to turn the call over to Katrina.
Katrina Lake: Thanks, David, and thank you for joining us. After the market closed today, we issued our quarterly shareholder letter with more details on our results and strategy. On today’s call, we will focus on three things that demonstrating momentum we are seeing in our business. First, we are continuing to see clients migrating to our offering at the highest rates we have seen in years and we are excited about the opportunity to accelerate our share gains over time. Second, we continue to evolve our Fix offering to enhance conversion and retention of new and existing clients. And third, direct buy is resonating with our existing clients and we are preparing to roll it out to first-time clients at the end of fiscal Q4. Combined, our demand strength, product innovation and plan to launch a direct buy to new clients give us confidence as we look to the quarters ahead. As I will discuss in a moment, we also see near-term factors that we expect will impact the back half of this fiscal year, and as a result, we have updated our full year outlook. Before I dive into these themes, let me first review our results from the quarter. In Q2, we generated net revenue of $504 million, reflecting 12% growth year over year. Within our Fix offering, first Fix shipments in the quarter increased to their highest growth level in five years. However, due to the pandemic, carriers faced unprecedented volume during the holidays and we saw increased cycle times. This resulted in us not being able to recognize all the revenue from Fixes we shipped during the quarter. We defined cycle time as the duration between when we file items before a Fixed and when we receive and process any items back from the client in our warehouse, and unlike other e-commerce companies, we recognize revenue for Fixes at client checkout, not at the point of shipment. Adjusting for the impact of these increased cycle times, we believe Q2 revenue would have been within our guidance range. In response to these delays, we have made adjustments in our ship planning process to ensure we meet our promised delivery dates. We are taking steps to diversify our outbound carrier mix and we are partnering with our primary carrier the United States Postal Service to process our returns more efficiently. In January of Q2, direct buy helped us achieve our strongest month-over-month revenue growth of any January on record and demonstrated the power of our new offerings to complement our core Fixed form factor. That said, we also learned more during the holiday period about seasonality of direct buy. We saw a softer holiday performance than we anticipated and believe that self-purchase behavior subsides in this window similar to what we have historically seen in our Fix offering and is replaced with a gifting mindset. In Q2, we also grew our active client catch nearly $3.9 million, representing a year-over-year increase of 408,000 clients or 12% growth. It also reflected a quarter-over-quarter increase of 110,000 clients which is more than twice what we delivered last holiday quarter. With this growth, we’ve generated more net client additions in the last two quarters than we did in all of fiscal 2020 and we plan to continue expanding our client base in the remainder of the year. Dan, will review our results in more detail later on this call. Now, I will share more on how we continue to capture share and that the ongoing shift in the retail landscape and why this gives us confidence in our long-term opportunity. The first, COVID-19 stay-at -home government mandates were enacted nearly a year ago. This resulted in a massive share shift acceleration online, as consumers increasingly moved away from predominantly shopping for apparel in physical stores. Industry observers estimate that approximately five years’ worth of online share shift occurred in the past year alone and forecasts now call for nearly half of U.S. apparel spend to have moved online by 2025. As a result, we believe that consumers embrace of our offering is here to stay and the demand trends and client growth we are seeing demonstrate that our model of personalized discovery and radical convenience position us well to capture more than our fair share. As the country begins to reopen and the broader environment normalizes, we believe overall demand for apparel will increase and we will be incredibly well positioned to win. In the second quarter, growth in first Fix shipments accelerated to nearly 50% year-over-year, which is our highest growth rate since 2016 and was up over from, over 25% growth last quarter. This growth was driven primarily by strength in our women’s category, which delivered its highest year-over-year first Fix growth in the past five years. Given that our women’s category comprises a large majority of our business and addressable market, this acceleration is particularly exciting and highlights our strong product market fit and the migration that is underway. As we look to the back half of our fiscal year, we continue to see significant opportunity but there are also factors that have emerged that are important to consider. From a demand standpoint, we are seeing first time clients migrating to Stitch Fix at multiyear highs and to support this demand, we are investing across inventory, styling and operations to have the product and throughput to serve these clients well for the quarters ahead. But we are also seeing longer cycle times, namely comprising carrier and client delays which continued in February. These longer cycle times impact in period revenue recognition and delay subsequent Fix orders. Both of which can dampen our topline. We saw this in Q2. In addition, we expect some products feature rollout, rollouts tied to the direct buy launch to first time clients to move to later in this fiscal year, which would push out some of the anticipated revenue growth. As Elizabeth will discuss in a moment direct buy performance remains strong and we are investing the time and effort to enhance the product experience before our plan launched to first time clients at the end of fiscal Q4. Given these moving parts, we believe it’s prudent to adjust our revenue outlook for the fiscal year. Dan will discuss this in more detail later in the call, but our confidence and excitement around the products we are building and the demand we are seeing remains unchanged. Now, I will hand it over to Elizabeth who will share more on some of the enhancements we are delivering across our offerings.
Elizabeth Spaulding: Thanks, Katrina, and hello to all of you on the line. Today I’d like to share more on the strategic innovation we are investing in to drive long-term growth. We believe these investments across our Fix and direct buy offerings will increase the relevance of our personalized service and allow us to play in a full suite of shopping occasions, which we expect will increase the value we get from existing customers and expand our addressable market of new customers. As we shared last quarter, we continue to evolve our Fix offering by leveraging our data science capabilities and capitalizing on our large, talented filing team to deliver stronger client outcomes and cement long lasting relationships. Our vision is to elevate our nearly 6,000 stylists, who we view as a unique competitive advantage in our personalized offering, a style expert, and as a result, we are investing in product experiences that we believe will drive greater personalization, increased wallet share and enhance lifetime value. The first of these experiences is Fix Preview, which as we discussed last quarter give clients the opportunity to view proposed items for their next Fix before it’s shipped. We expect Fix Preview to increase client conversion rates because we give clients more [agency] [ph] in the Fix experience. An added benefit of this feature is that we are also able to collect rich and meaningful feedback that improves the efficacy and efficiency of our algorithm. Initial results from our Fix Preview launch, which included nearly half of U.K. clients demonstrated strong client engagement with nearly three quarters of these clients opting in for the feature as of Q2. When compared to outcomes without Fix Preview, we also saw higher keep rates, which drove a 10% increase in average order value and improved client retention. With these encouraging results, we recently scaled Fix Preview to 100% of our U.K. clients and we plan to ramp to all of our U.S. clients by the end of the fiscal year. We are also investing in additional client facing experiences that further leverage our stylist to deliver personalized, collaborative engagement that extends beyond the transaction to form long lasting relationships. One of these experiences that we have begun incubating is live styling, where clients join our stylist for a 30-minute session hosted by a video call to talk through styling advice and to partner with their stylist to co create their Fix. As this offering evolves, we believe that it will improve client retention and deepen client trust with the help and guidance that our stylists are able to offer. While still early experiences like Fix Preview and live styling enhance our interactions with clients, and thus, the quality and dimension of data we gather from those interactions. These multi-touch points provide an opportunity to learn additional ways for clients would like to engage with our offering, creating jumping off points for new experiences that we may pursue in the future. To accelerate the rollout of these product experiences, we are investing for the long-term by growing our styling community and product engineering teams. Over time, we believe this will allow us to increase conversion, improve client outcomes and expand lifetime value. Now, let me discuss some of the exciting progress we have made with direct buy where the offering continues to scale among our existing clients and increase client engagement and purchase behavior. With nearly one quarter of our women’s active clients having made a direct buy purchase to-date, we are pleased to see such strong engagement from our largest client category. In addition since launch, nearly two-thirds of these women’s clients have returned to make repeat purchases within six months of their initial purchase. We have also found that clients we have acquired to paid marketing channels in the past few quarters are actively engaging with direct buy and are delivering higher early lifetime values than previous cohorts. Specifically, we have seen that these clients are generating more cumulative contribution profit in their first three months and six months than clients one year ago, who are largely Fix clients only. This incrementality gives us more optimism to believe that as our direct buy offering expands, client lifetime values will continue to grow. The momentum and client engagement we have seen increases our confidence as we look to introduce direct buy to new clients at the end of the fiscal year. We have a solid foundation in place and our development efforts are largely focused now on expanding the experience for first time clients. This includes evolving our client on-boarding process and user interface, tightening logistics and operations, and streamlining client style collection information. Specifically within the client experience, we are focused on expanding the breadth of our assortment to accommodate client’s individual preferences, while balancing the browse and discovery experience to ensure direct buy remains highly personalized and engaging. We believe that taking the time to optimize the experience in this way will allow us to more effectively scale direct buy and bring the offering to life for first time clients later this fiscal year. Our goal is to help clients begin their journey with Stitch Fix in the best possible way, starting with either Fix or direct buy as soon as they enter our ecosystem and we expect that direct buy will help drive greater engagement and fuel client acquisition in the years ahead by unlocking the full addressable apparel market. Before I handed over to Dan, I’d like to quickly touch on our efforts to vastly expand the selection that we can offer to clients as we position the company for accelerated long-term growth. Historically, we have used a wholesale inventory model, which has been very effective but places inherent limitations on the breadth and depth of our assortment. Earlier this fiscal year, we began exploring new inventory models, including vendor managed inventory and dropship. We believe moving to a multi-inventory model will enable us over time to meaningfully expand selection, allowing us to attract more clients, track higher demand and create a flywheel of accelerated growth. We look forward to sharing more details on this topic in the quarters ahead. As you can see, our focus on innovating our Fix experience, scaling and ungating direct buy, and evolving our inventory models demonstrate our commitment to creating more ways to win in this new apparel retail landscape. This gives us confidence in our ability to continue taking share and driving long-term growth. With that, I will turn it over to Dan.
Dan Jedda: Thanks, Elizabeth, and hello to everyone joining us on today’s call. I am just over three months into the role and I have had the opportunity to dive into the business. A few things stand out that I wanted to share. First, the passion and dedication of the team to innovate in this space and provide a unique and personalized client experience is unmatched. Second, I am incredibly impressed with the data science note and creative styling capabilities that the team has built. And finally, the investments we are making to evolve our Fix offering and scale direct buy give me excitement in our long-term growth trajectory and I look forward to helping meaningfully scale our business over time. I couldn’t be more excited to be part of the Stitch Fix team. With that, I will discuss our Q2 results. In the quarter, we generated net revenue of $504 million, representing 12% growth year over year, which is an increase in growth over Q1. As Katrina mentioned, revenue for the quarter was impacted both by increased cycle times for Fixes, which are largely related to carrier and client delays, as well as direct buy softer than anticipated performance during the holiday period. Adjusted for -- adjusting for the impact of these increased cycle times, we believe Q2 revenue would have been within our guidance range. In the quarter, we do active clients to nearly $3.9 million, an increase of 408,000 and 12% year-over-year. This also resulted in an increase of 110,000 clients quarter-over-quarter, which is more than twice what we delivered in our last holiday quarter. Net revenue per active client of $467 declined 6.8% year-over-year, consistent with our expectations. As we shared last quarter, this decline is driven primarily by our increasing new client growth, with an influx of new clients that are early in their spending journey with us revenue per client maybe lower until these new cohorts of clients have more time on our platform. In addition, our trailing fourth quarter calculation continues to include the impact of our Q3 2020 COVID trial which, we will lap next quarter. Q2 gross margin was 42.9%, representing 190-basis-point decline from the same quarter last year, primarily driven by increased shipping expense largely due to higher rates with our carriers. In addition the decline was impacted by increased inventory reserves due to higher inventory level, as well as some selected meant inventory targeted from near-term clearance. This is a function of our men’s category rebounding more slowly from the impact of the pandemic than women’s and kids. We believe men are shopping less frequently during these COVID times, so we expect these trends to improve as we emerge from this backdrop. Advertising was 8.3% of net revenue in Q2, compared to 7.9% in Q2 2020. During the holiday period, we saw higher CPAs and certain channels, so we pull back on advertising in December. Entering January, we saw significant improvement in CPAs and increased our advertising spend accordingly, which contributed to our strongest month-over-month growth in revenue and active client additions of any January on record. Other SG&A excluding advertising was 42.6% of net revenue in Q2, compared to 35.0% in the same period last year. The increase year-over-year was driven by higher compensation and benefits expense, including increased wages at our fulfillment center is tied to an hourly wage increase to at least $15 per hour for all full-time U.S. warehouse associates. In addition, it reflected higher marketing expenses and increased COVID related costs. Q2 adjusted EBITDA loss of $8.9 million, reflecting the impact of lower revenue in the quarter, higher shipping costs and investment in our people and operations. Q2 net loss was $21 million and deluded lost per share was $0.20. And finally, we ended the quarter with no debt and $369.4 million in cash, cash equivalents and highly rated securities. Now I will turn to our outlook. We are seeing strong new client acquisition trends, healthy order ship retention levels and increased client engagement with direct buy. That said, there are also near-term factors that may impact the back half of fiscal ‘21 and are reflected in our updated full year guidance. First, we saw a longer cycle times in Q2 that persisted in February that we believe could impact revenue in the second half of the year. These longer cycle times mainly comprising carrier and client delays, impact in period revenue recognition and can delay subsequent Fix orders given that a large majority of our clients receive recurring Fix shipments. In addition, there’s still a lot of uncertainty given COVID, and as a result, particularly more measured approach to our outlook. And second, our direct buy offering, we are very excited about the momentum we have seen with our existing clients and we look forward to rolling it out to first time clients. As Elizabeth mentioned, our product teams that focused on expanding features of the user experience to ensure that direct buy is a great experience from the onset to onboard new to Stitch Fix clients. As such, we plan to continue testing the products to fiscal Q3 and into Q4 before full scale product launch in late fiscal Q4. This rollout time also plays a role in our revised guidance. Given these factors, let me now share our Q3 and full year 2021 guidance. For Q3, we expect net revenue in the range of $505 million to $515 million, representing growth of 36% to 39% year-over-year. We expect adjusted EBITDA in the range of negative $9 million to $5 million or negative 1.8% to 1.0%. This reflects our ongoing investment in advertising, operations and styling that we discussed earlier. While we expect these investments to benefit client growth in the quarters to come, it will also weigh on adjusted EBITDA in the near-term. For full year 2021 we now expect net revenue in the range of $2.02 billion to $2.05 billion, representing growth of 18% to 20% year-over-year, driven primarily by accelerating year-over-year active client growth and increasing spend from our newest client cohorts as they mature on our platform. From an investment standpoint given that there are several moving pieces, including the precise timing of product launches, we will hold off on providing full year adjusted EBITDA guidance at this time. In summary, we remain excited by the demand trends we have seen over the last few quarters, giving us confidence that this combined with our investments in new product and innovation position us for long-term growth. With that, we are now ready for your questions. Operator, I will turn it over to you.
Operator: Thank you. [Operator Instructions] We will hear first today from Edward Yruma with KeyBanc Capital Markets.
Edward Yruma: Hey. Good afternoon, guys. Thanks for taking the questions. I guess, two first. First, are you just maybe seeing the kind of early cycle signs that we are seeing a rotation in apparel demand i.e. are you seeing an uptick in going out clothing, workwear? And then as a follow-up to your commentary on launching direct buy and cold started people direct buy were there other initial signs that indicated that the product needs kind of more work before launching? And kind of help us understand a little bit more clearly kind of why the -- why that was delayed? Thank you.
Elizabeth Spaulding: Yeah. Hi, Ed. This is Elizabeth. Happy to take both of those. Those are great questions. First, on -- I think your first question was about, are we seeing differences in kind of consumer demand patterns. And we can continue to just see very strong growth in casual and activewear. Both of those have had outsized growth. And then not surprisingly slower growth rates in kind of career and workwear type items, and there are specific categories we have seen particular strength in, sneakers being one, mitts, not surprising items that people are wearing in this work-from-home and environment. We have tried to keep a pulse on markets that are opening up a little bit more quickly. Markets that have moved out of lockdown phase and the trends are largely similar. A little bit stronger in some of those workwear categories, but they are still down on a year-on-year basis, which is interesting. So I think some of these work-from-home trends we are anticipating kind of this casualization to continue to persist post COVID, but more to come there. And then on direct buy, we continue to be really excited about what we are seeing in terms of our active client demand. As we mentioned on the call, a quarter of our women’s clients are now in that offering. The contribution margin and lifetime value have been very strong and incremental relative to last year when we were really more of a Fix-only offering. And then in terms of our timing, we are building a 0:1 product and we just want to make sure we really get it right as we roll it out. And so some of the things that we mentioned on the call that we are working on is really expanding the access to our assortment and selection in a personalized way, the cold start that you mentioned is on-boarding new customers is for sure one of those areas, but also exposing our assortment in the right way. We talked about our categories data for the last call that we have and we continue to work on generating those categories in a very unique way. We have thought about it internally a little bit akin to kind of the genres you might see in Netflix that are being dynamically generated based on your preferences. So it’s areas like that that we are continuing to work on and to make sure there’s adequate selection and breadth for those new customers when they join.
Edward Yruma: Thank you.
Operator: We will hear next from Dana Telsey with Telsey Advisory Group.
Dana Telsey: Good afternoon, everyone. As you think about the supply chain and the capacity issues with delivery, what’s your sense in terms of timing as how we move through this, how do you see inventory progressing as we go through the balance of the fiscal year and the impact on the expense side? Thank you.
Dan Jedda: I can take the second part of that question on inventory. We have seen inventory increase in our second quarter as we get ready for our direct buy expansion and our roll up, and also as we are expanding selection. So, we are continuing to invest in selection of both breadth and depth, and we will continue to grow our inventory as we get ready to launch direct buy to non-Stitch Fix customers and continue to expand our Fix offering. And can you repeat the first part of that question please?
Dana Telsey: As you think about the timeline of the delays in receiving of goods and diversifying capacity, how do you think of when, when does it normalize? When will -- when do you think deliveries start to normalize?
Dan Jedda: Yeah. We have about 90% of our product coming in through the West Coast ports, specifically L.A. We haven’t been too impacted on our inbound on that yet. We are watching it very closely. It hasn’t impacted either our selection or our inventory at this at this point. Again, something we are monitoring very closely and we can update you. But if we do -- if it does impact us on future calls, but to-date it hasn’t materially impacted us.
Dana Telsey: Thank you.
Operator: From Barclays we will move to Ross Sandler.
Ross Sandler: Hey, guys. So, just a couple of questions on the gross margin kind of follow-up on that last one. Our understanding is that in any given quarter, you have more or less pretty good sense of how many Fixes you think you are going to process based on demand and inventory and that most likely you would contract through that [March] [ph] outbound shipping volume ahead of time? So, I guess, what happened here in the fourth quarter we know it was pretty tight across the industry that was there. Do you have an over dependency on Postal Services or were there some blow-up among one of the shipping partners and then like what are you doing to sort that out on a go forward basis? And then it looks like the men’s side of the business has this clearance issue. So any more color on that and given the ramp up of inventory, do you still have the same level of confidence on a go-forward basis along gross margin given that men’s clearance issue in the January quarter? Thanks a lot.
Dan Jedda: I will take the first part of that, Ross, and I will ask Elizabeth to take the second part on the men’s category. With respect to shipping, obviously, during the holiday period, there was unprecedented volume across the networks -- across all the networks and shipping and we were impacted by that. We have standard contracts. We do use, as Katrina mentioned, we do use USPS, although we also use other carriers including FedEx as well. And so not only do we see a higher shipping rates, but we also saw holiday surcharges. That was not unexpected to us and so it did impact our year-over-year margins. We are very active in focusing on diversifying our carrier network, both on the outbound to the client and on the returns, the reverse logistics and something we are going to monitor closely. We do monitor closely. We strike the right balance between costs and making sure our clients get their fixes on in a timely manner. But carrier diversification is something that’s very important to us. And we are also working at getting our fixes out the door from the time and style to the time that exits our warehouse very quickly, so we can alleviate some of that cycle time holding we talked about earlier. But with respect to your question, carrier diversification is something that we are focused on, again balancing that tradeoff between getting the Fixes and the direct buy orders to the client along with trying to keep our carrier cost in check and in line. Elizabeth, I am going to let you take the men’s category.
Elizabeth Spaulding: Yeah. Hi, Ross. Yeah. So I can touch on men’s. I mean, I think, what’s been exciting for our business is we have just seen continued incredibly strong growth across women’s, kids, the U.K. Men’s is one area that we just think that consumer has come back a little bit more slowly and just believe it’s a function of that client set. And frankly, it was a little bit softer than we expected in Q2 and some of that resulted in us incurring some higher inventory reserves. I think in addition to that, we probably were a little bit slower to shift as dramatically into some of the lounge and athleisure wear that we are seeing in the highest demand from that client segment. So we are we have been very focused on rightsizing our assortment better balancing that with both demand and also now in a position to be better positioned to capitalize on when that market -- the market overall be open and when we expect to see men’s demand start to come back in a more fulsome way.
Operator: We will move on to Youssef Squali with Truist Securities.
Youssef Squali: Great. Thank you. A couple questions from me, maybe starting with you, Dan. On the full year guidance on the revenue, I was wondering if you could maybe back that a little bit for us between the longer cycle time, which you have seen sustain into February and then just slower direct buy rollout. When -- in your initial guidance that you shared with us three months ago, when did you guys assume that direct buy was going to rollout versus now you are saying at the end of the year? And second, maybe can you discuss the state of the U.K. business and just your appetite for additional geos over the next year or so? Thanks.
Dan Jedda: Hi, Youssef. Thanks for the question. With respect to the guidance, first of all, let me talk briefly about what we are seeing on cycle times. When we entered February, we did see modest improvement in cycle times coming off in January and we thought we would like the trend that we saw the trend back. Certainly wasn’t back to pre-COVID levels, but it improved from January. And then the weather hit us as it did many in the South and in the Midwest and that has impacted this of the last two weeks. So it’s been a little it’s been a mixed bag of cycle times in February. We do expect cycle times to stay elevated throughout the quarter, although, we expect it to improve from where they are now. And to your second point with respect to the delay of our direct buy to non-Stitch Fix clients, we didn’t say when we were going to roll that out in previous guidance, although, it is a cause for our revised guidance. We plan to roll that out late in Q4 now as we get, as we get the product rate as Elizabeth mentioned earlier. But we are not breaking out what the impact was. Except to say that it is still planned for launch this year, it’s just going to be later in the back half of the year than we originally anticipated. I am going to let Elizabeth take the U.K. question.
Elizabeth Spaulding: Yeah. Hi, Youssef. Thanks for a great question. On the U.K., we continue to see really great momentum there. We saw particularly strong first Fix demand over the quarter, driven primarily by women and we have also just seen continued very strong momentum in contribution for Fix and just continuing to elevate our product market fit. Within that market, we saw that a 30% year-on-year annual growth in both tip rate and AOB. And then as I mentioned on the call, we also have used that market to incubate Fix Preview, which has been additive in that market as well and so we are feeling really good about just our ability for our model to travel internationally. In terms of other geographies, we don’t have any specific timing yet to share. But we will say that the promise that we have seen in that market gives us confidence that we can take our model globally, so more to share on that over time.
Youssef Squali: Thank you.
Operator: We will hear next from Cory Carpenter with JPMorgan.
Cory Carpenter: Thanks. Thanks for the question. I had two, just maybe I kind of want to go back to your comments around January in Q3 times, one of your strongest Januarys on record. So just hoping you can maybe expand a bit more on what’s worked so well that month, perhaps where you are starting to see a pickup in demand as the economy started to reopen? And then, secondly, just on advertising, I am curious how you are thinking about the right level of ad spend in the second half of your fiscal year, just especially in the context of the extended cycle times and in direct buy pushing back to you? Thank you.
Elizabeth Spaulding: Yeah. I can start with January and touch on advertising and Dan can add on. Yeah. I mean, we saw an incredibly strong January. Part of that was just very, very strong first Fix demand. I think we had mentioned, we had pulled back on some of our ad spend in December just given the elevated CPAs we are seeing and then we really saw demand coming really rushing back and CPAs coming down in January and we took advantage of that and had incredibly strong first fixed finance. And then on top of that, we just saw tremendous momentum with direct buy, both our daily active users, conversion rates and just the same kind of momentum we had been seeing really pre-holiday. And so those two things were together just gave us a very, very strong January and as we think about advertising for the balance of the year, we will continue to be dynamic and how we are spending to that and I think Dan can touch maybe a little bit on that further.
Dan Jedda: Yeah. Just to reiterate, what Elizabeth said. Not surprising CPAs increased dramatically in December and we didn’t like the rates that we are seeing on customer acquisition. So we did pull back. We knew they would get better in January and they did and we ramped up our advertising. And so going into Q3, we like what we are seeing where to continue to spend in Q3, we will likely be higher than Q2. Our customer acquisition is strong. Our new client strength is strong and advertising is a big reason why. So we will continue to spend as long as it stays within our analytics and how we look at our lifetime value of our customer. And so with that you can expect − spend back to more normalized rates in Q3 and most likely in the Q4.
Cory Carpenter: Okay. Thank you.
Operator: From Piper Sandler, we will hear from Erinn Murphy.
Erinn Murphy: Great. Thanks. Good afternoon. A couple from me, I guess, first, if you kind of open up the platform to direct buy to new customers in the fourth quarter. Can you just talk about how you expect that potentially cannibalizing the existing Fix business or at least what you are seeing today with the added offering to those that already use the Fix business?
Elizabeth Spaulding: Yeah. Hi, Erinn. This is Elizabeth. I can touch on that. I mean, I think, overall, we think they are just key bigger addressable market out there by having a wire platform for our customers whether they want to shop, whether they want to be filed or participate both of those models. And so, both similar to the incrementality that we have observed with active Fix clients as they participate both and seeing that is actually a attitude experience. I think we are thinking about it similarly as we bring new consumers onto the platform. Over time, as well, there are parts of driving traffic to our site that we will be able to participate in the quarters to come, probably not immediately, just given the build out of the infrastructure and the way site indexing works but to be able to eventually participate in search engine optimization. And so between consumers having more ways to win with us, as well as driving more traffic to Stitch Fix by opening up our product catalog and having more ways to interact, we feel like it’s just the right thing to do to be able to offer a more diverse experience.
Erinn Murphy: Okay. Thank you. And then just my second question is on, I guess, Dan for you, can you just share what’s contemplated in your third quarter guidance between active customers and revenue per customer? Thank you
Dan Jedda: Well, our revenue per customer as you mentioned is at $467 million, which is flat to Q1 and that is a function of just the newer client cohort of customers spending very early on in their cycle times. As those clients spend more, we do expect that to increase and get to more normalized levels going forward. I think that was the answer to your question on our revenue per active clients and then we are not going to say anything on Q3 guidance with respect to active clients. We are not giving as part of guidance.
Erinn Murphy: Okay. Thank you.
Operator: We will hear next from Paul Trussell with Deutsche Bank.
Paul Trussell: Good afternoon. With the Fix Preview, how much higher were the keep rates for those that utilize that feature and any other color you can provide on like client retention and average order value? Also on the life styling, certainly that’s quite interesting concept. Maybe just speak a little bit more about what you expect from that and the level of investment you are going to make into that capability?
Elizabeth Spaulding: Yeah. Thank you, Paul. Great question. So on Fix Preview, I shared a little bit on the call, and overall, we have just seen expansion really in the majority of the metrics that we look at for our customers on ARV and keep rate, in particular, we found that a 10% lift across both of those and we have seen that continue. We started that pilot in the U.K. back in August, scaled it to 50% soon thereafter and then recently scaled it to 100% and we are feeling good about the continued strength of that experience. And we are still at a pretty modest level in the U.S., but we are scaling it to 100%. We foresee by the end of the fiscal year. And so we feel really great about it being a service that makes clients even happier, driving retention and driving those higher average order values and a place that we could imagine experimenting with even further over time. One interesting anecdote is that if previewed and accessory and somebody keeps it in their cart, they almost always keep it. So also just certain item type, we think will be an exciting add on to that feature. And then with life styling, we are a little bit earlier on that than we are with Fix Preview. We are still incubating it but we are seeing a lot of the same patterns and trends around just that the response to things like order value and so forth. And really just a lot of richness in other things clients are wanting to share with us. Like hey, let me show you this thing I love in my closet. Can you find me something to go with it? And just different elements that we are envisioning how that might create almost experience offshoots permit. But I would say, you don’t plan to scale that immediately. We are still in sort of the incubation and testing mode to figure out what is the best way to scale that and what other kind of services might it imply that our clients are looking for. So, we are really excited by the feedback we have gotten so far both from our clients and frankly from our stylist as well who are loving and participating in the program. So we will share more in the quarters to come. I think we have got our platefuls between direct buy and Fix Preview right now, but we will keep incubating that for something that will follow on probably in FY ‘22.
Paul Trussell: That’s helpful. And just a quick follow up, as we think about this cycle time delays, I mean, you spoke to the revenue impact, just can you talk a little bit more around what impact it’s having to the overall P&L, both what you saw in Q2 and how you think about it in Q3? And also with the Q3 guidance, you outline about these ongoing investments in advertising, operations and styling to what extent is that weighing on the quarter?
Dan Jedda: I can take that one. To your question on cycle time, we did talk about the revenue impact. What happens a lot of times is the processing time becomes lumpy as we get returns in large batches. And so, there’s some operational burden that cycle time does have on our fulfillment centers and so we are managing that closely. It hasn’t been material. We have been able to work around that and implement new processes to better align on any sort of lumpiness that we get. And so it -- from a cost structure standpoint, the -- I would not assume that it’s material to us just because we have been so proactive in how we manage that cycle times especially on the returns processing. And so it is more of a revenue recognition, including the potential to impact subsequent Fixes. And so, from that standpoint, it’s primarily more on the revenue side than it is on the cost side.
Operator: We will hear next from Ike Boruchow with Wells Fargo.
Ike Boruchow: Hey. Thanks, everyone. Just two questions on direct buy. Is it possible to kind of break apart the P&L both direct buy versus the subscription business and look at gross margins between the two. I am just kind of curious as direct buy continues to ramp will that be a drag on gross margin, will it be neutral or just how should we think about that? And then I believe this is the last quarter before we start lapping the direct buy rollout. Can you comment on the other part of the business separately, I mean, what kind of growth rates you are sitting in the box business, if we took the direct buy component out of it? Thanks.
Dan Jedda: I can take that.
Elizabeth Spaulding: Hi.
Dan Jedda: We don’t break out the direct buy versus the Fix financials. There are a couple of areas I can point to. Obviously, the Fix has a styling component, but direct buy -- and direct buy does not. That being said, the margin structure is very positive for both. And -- but again we are not breaking out the different growth factors in direct buy right now or -- and we don’t really talk about the different economics of direct buy. I will reiterate what Elizabeth said, that direct buy is additive to the Fix business for our fixed customer, so we like what we are seeing there from an incrementality standpoint.
Elizabeth Spaulding: Yeah. Maybe the one quick thing I would add just on a Fix side of things, just what we have seen on our first Fix growth in particular is just incredibly strong trends with women, as well as kids kind of outperforming. But to Dan’s point we don’t really break out the growth rates of the two. I think overtime we will figure out if it makes sense to do so. I think we are seeing as we mentioned on the call as well, just positive momentum of greater portion of our client base participating and as we expand the feature set and start to make it available right out of the gates to new clients we would anticipate that growth to accelerate but we will be able to share more in the quarters ahead.
Operator: And from JJK Research Associates, we will move to Janet Kloppenburg.
Janet Kloppenburg: Good evening, everyone. Just a couple of questions from me, first on the expansion of the direct buy assortments. I was just wondering what you thought that might lead to in terms of residual product markdown pressure, et cetera, generally something associated with expanding assortments and how we should think about that in terms of merchandised margin? And then you have a lot of new pilot going on right now, including life styling and then direct buy coming to the new customers, et cetera. And I think you are learning a lot along the way, we see the seasonality come in and maybe the men’s business not being quite as strong as you thought, which I assume will pick up at some point soon. I am just wondering how we should think about your view in terms of continuing to invest in these new projects, which are clearly driving new customers to Stitch Fix. But they are also putting pressure on your profitability or because of now the learnings and the investments that follow. So, I was just wondering what are your priorities there and how we should think about future projects? Thank you?
Elizabeth Spaulding: Yeah. Hi, Janet. I will take that…
Dan Jedda: Hi, Janet. Maybe I will -- yeah, I will take the first one. Yeah. I am going to take the first one of that. Thanks for the question, Janet. With respect to direct buy and increasing selection on inventory, as you bring in more inventory, reserve rates and potentially the resulting markdown clearance is possible. But you have to counter that with the increase in clients the -- our ability to attract non-Fixed based clients, which is one of the reasons why we are going to launch this direct buy to non-Fix customers in the back half of the year. And so, we are watching our inventory closely. We are expanding selection that’s very intentional, especially as we launch new features like categories, which Elizabeth discussed earlier. Having the right product mix to show the cost to the customer is very important in those areas. So we will continue to invest in inventory and we will get to watch it closely, and we do expect inventory reserve rates to move along with inventory. But it’s something that we are keeping a very close eye on.
Janet Kloppenburg: Great. Thank you.
Elizabeth Spaulding: Yeah. And Janet, I can touch on your question on just sort of the innovation expansion that we have been focused on and some of the pilots that we mentioned on the call. And I think just on general we see this as really our moment as consumers are shifting at unprecedented rates online. As Katrina mentioned, just this notion of the belief that 50% of apparel by 2025 will be online and the market is going to start opening up here and we are really gearing up for that. And so, we view our platform today a lot of times on this call, so we can talk about Fixes and direct buy. But really the long-term vision is just the most personalized shopping experience in the world. And e-commerce has really been characterized with apparel by search and we are entering into a new phase that will be characterized by browse and discovery. And so our styling model and experiences that hinge off of that just a curated shopping feed. All of those are areas that we think we could become really the destination of choice and the primary shopping destination for our clients. And so what we are excited about is that the things that we have been testing. We are proving that we can pretty quickly scale like Fix Preview and even direct buy we really only launched that to our active client base a year ago it was February 2020. So, I think, what we are excited about is just the adoption that we are seeing of these new services, together with just the overall market tailwind. So we will continue to be testing things. For sure not everything will work, but we are very optimistic of seeing the adoption we have seen to-date that we can continue the expansion of our model.
Janet Kloppenburg: Okay. So the focus will be on expanding the services that you provide for the customer to continue to grow your group of active customers.
Elizabeth Spaulding: Yeah. That’s right. And I think what we are seeing is we are participating in more and more of the share of wallet and purchase occasions, whether it’s more inspiration based or more purchase intent based purchases hence the scaling of our categories experience.
Janet Kloppenburg: All right. Thanks a lot and best of luck.
Elizabeth Spaulding: Thank you.
Operator: [Operator Instructions] We will hear next from Lauren Schenk with Morgan Stanley.
Lauren Schenk: Great. Thanks for taking my question. I wanted to follow up on the longer cycle times. Just wondering if you can quantify sort of on a number of days perspective how much those have been extended? And then curious if you are seeing that in early to mid-December when you initially guided the quarter, I would have thought maybe over Cyber Monday, Black Friday that those delays would have been evident already, so just to follow up on when you start to see that that real impact? And then really this is just sort of a revenue recognition timing issue, so on a full year basis, ignoring to the quarterly variances is the lower ‘21 outlook really direct buy driven and that does that play out more in fewer number of active customers or lower spend per customer? Thanks.
Dan Jedda: Yeah. I will take the question. I can take that one. Thank you for the question. We did see cycle times start to creep up in December -- in November and December. What surprised us a little bit is that they continued to stay high for January and into February. And so that is impacting us, as we mentioned, for Q2 and we have not seen them come down to pre-holiday levels. And we expect -- and what we do expect them to come down throughout Q3, we do believe that in the back half it will still impact us. To your point on the timing of it, it does impact subsequent Fixes potentially, because most of our clients are on a scheduled subsequent Fix. And so if they -- if it takes longer for a carrier to deliver or the client holds the fixed longer, it will impact subsequent Fixes and so we are managing that and watching that very closely as well. That all said, to your point on the back half, the timing of our direct buy is a reason for the lower guidance in the back half as we get that product to be right and launch it late in Q4 relative to what we were expecting earlier when we provided the guidance last quarter.
Operator: And from Baird we will hear next from Mark Altschwager.
Mark Altschwager: Hi. Good afternoon. Thanks for taking my question. I guess, two questions related to inventory. First, I was hoping you could just talk a little bit more about how you are planning inventory receipts as you begin to cycle in the COVID disruptions and we look toward additional stimulus. It sounds like direct buy picked up in January. I am not sure how much of that might have been impacted by stimulus. But I guess, I am curious how responsive you can be should demand accelerate beyond your plans in the coming months, especially in the direct buy piece? And the bigger picture, just the new inventory models are really exciting with the dropship under managed. Can you give us a better sense of what innings are there from an investment standpoint and just to what level of additional capacity or technology infrastructure might be needed to scale this longer term? Thank you.
Dan Jedda: Hi. I can take the first part of that question and I will let Elizabeth answer the second on the inventory models. To your point on our ability to bring on receipts, first of all, it’s unclear in January, what drove with stimulus checks or if stimulus checks coming up would drive demand. And we did see very healthy January growth rates and we were ready for that with inventory and we do have, of course, lead times for the receipt of our inventory. That said, we were very, very familiar with our lead times and we do feel very well positioned to take advantage of any change in buying patterns, whether as economies open up and decide that we are going to go out more and go back to work or we continue on with the athleisure positive growth rates that we have seen to-date. We feel we are in a good position for inventory. We do − we are very good at chasing inventory where we need to. But going forward just given our inventory position, we feel like we are well-positioned for the back half of the year should the open economies change the buying patterns. Elizabeth, do you want to take the second part of that?
Elizabeth Spaulding: Yeah. Hi, Mark. Great question on that. We are also very excited about kind of becoming a multi-inventory model business and so, as I mentioned, gearing up for being able to participate in dropship, as well as vendor-managed inventory. We have been working on that for the last few quarters and we will continue to do so in the next few quarters to come with the intent of being able to use that as an opportunity to both widen our selection but also create more flexibility and being able to scale up and scale down to meet demand patterns. And so a lot of the work that’s been involved has been putting the technology infrastructure in place for things like financial automation, as well as even enhanced forecasting tools to participate with our vendor community that we are very excited about given our data driven algorithmic capabilities. And so we are essentially in beta mode right now on those offerings and over the course next few quarters we will be able to share more. But over time, really scale those as part of our inventory model, which together with the consumer facing part of our experience we can create just a really phenomenal flywheel. So we are excited to share more over the coming couple of quarters.
Mark Altschwager: Thank you.
Operator: And at this time, I’d like to turn things back to Katrina for any closing remarks.
Katrina Lake: Okay. Thank you very much for joining us. We look forward to seeing you all virtually or hopefully even in person in the coming quarters.
Operator: And that will conclude today’s conference. Again, thank you all for joining us today.